Operator: Greetings and welcome to the Dorian LPG Second Quarter 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. As a reminder, this conference is being recorded. Additionally a live audio webcast of today's conference call is available on Dorian LPG's website which is www.dorianlpg.com. I would now like to turn the conference over to Ted Young, Chief Financial Officer. Thank you, Mr. Young, please go ahead.
Ted Young: Thank you, Darrell, and good morning everyone. Thank you all for joining us for our second quarter 2022 results conference call. With me today are John Hadjipateras, Chairman, President and CEO of Dorian LPG Limited; John Lycouris, Chief Executive Officer of Dorian LPG (USA); and Tim Hansen, Chief Commercial Officer. As a reminder, this conference call webcast and a replay of this call will be available through November 10, 2021. Many of our remarks today contain forward-looking statements based on current expectations. These statements may often be identified with words such as expect, anticipate, believe or similar indications of future expectations. Although we believe that such forward-looking statements are reasonable, we cannot assure you that any forward-looking statements will prove to be correct. These forward-looking statements are subject to known and unknown risks and uncertainties and other factors as well as general economic conditions. Should one or more of these risks or uncertainties materialize or should underlying assumptions or estimates prove to be incorrect, actual results may vary materially from those we express today. Additionally, let me refer you to our unaudited results for the period ended September 30, 2021, that were filed this morning on Form 10-Q. In addition, please refer to our previous filings on Form 10-K, where you'll find Risk Factors that could cause actual results to differ materially from those forward-looking statements. Finally, for our discussion this morning of our second quarter results, you may also find it useful to refer to the investor highlight slides posted this morning on our website, both under the Recent News section on the homepage, and under the News & Media tab which can also be located on our homepage www.dorianlpg.com. With that, I'll turn over the call to John Hadjipateras.
John Hadjipateras: Okay. Good morning or good afternoon as the case may be. Ted, John and I are speaking from Stamford and Tim Hansen, calling in from Copenhagen. Thank you for joining us to discuss our second quarter 2022 financial and operating results. We now have 62% of our seafarers fully vaccinated 27% or 236 out of 889 who're vaccinated at U.S. ports. The pandemic has brought our teams closer and coordinating efficient and safe crew changes and is also enabling us to engage and integrate our seafarers into our processes of fuel and emission savings. Our seafarers will be our most valuable partners, and the continuing effort to decarbonize. Our fleet performance and technical teams are assessing emission saving devices, which potentially will reduce consumptions of our eco fleet. Since January 2020, our efforts to reduce emissions have resulted in fuel savings of over $2.5 million. We were able to achieve solid market rates this quarter by optimizing our positioning and timing. Ton-mile demand increased, but bunker prices have also risen alongside crude oil prices. The Baltic Index averaged about $42 for the period July 1st to September 30th, down roughly $10 from the previous three months average. At $51.60 Baltic average for the quarter July to September, the TC equivalent was about $8,000 higher than at yesterday's $56 quelled. North American exports continue to rebuild after reaching low levels last fall due to COVID delays. Middle East exports are also recovering from their four-week moving average as it passed 700,000 last week. Actually 750,000 in mid-October it was 700,000 at the last week of September. And that's a highest export number from the region since last February. The arbitrage between Mont Belvieu and the Far East Index price for LPG has widened in recent weeks. The Baltic VLGC Index is trading at about $56 currently, up from $45 at the end of September and $37 in mid-September. We have a constructive view of the winter market. On the supply side of the market U.S. NGL production is resilient despite the short-term impacts from hurricanes in late August and early September. We expect exports from both the U.S. and the Middle East to increase in the winter months as OPEC+ continue to implement production cut reversals and as winter demand returns. With new building deliveries limited to seven between November and February, and canal congestion increasing the vessel supply demand balance looks favorable. Given the 100 plus differential between HSFO and LSFO, our 12 scrubber vessels continue to justify our investment. The HFO to LSFO spread has maintained a quarterly average spread above a $100 per ton for all of 2021, which is nearly double the average spread we saw in the second half of 2020 when it was $54 a ton. We took the opportunity to optimize our fleet by selling to the capital markets now for a firm price. Given the demand for vessels of this type, and a desire to improve our debt cost, we have exercised the repurchase option on our other two captains, which has the dual benefit of paying off our most expensive debt and giving us full flexibility with respect to these vessels. The decision to free-up these ships is in not in any way a deviation from our capital allocation focus on returning capital to shareholders, where possible. Will now pass over the line to Tim to further brief you on our commercial results.
Tim Hansen: Thank you, John. Again the third quarter of 2021 continues many of the trends that we saw in the previous quarter. North American LNG results been demonstrate robustness, Asian demands -- our Asian import demand grew, and crude oil prices continued to climb with the average Brent crude oil price at about $73.5 per barrel. In Q3 of 2021 global seaborne LPG was marginally up compared with Q2 in 2021 and about 750,000 tons about the same period in 2020. The North American exports were slightly down in the third quarter compared to the second quarter. But the increase in Middle East volumes exceeded the lower exports figures from North America. North American exports were hampered by the production difficulties emerging after Hurricane Ida when oil production was shut down at the end of August. Aside from the storm relief decline in production North American NGL production and thereby the LPG export reflected the levels seen in the quarter prior to. The increase in export volumes from the Middle East come on the back of the reversal of production costs agreed by their OPEC+ countries commencing from August. This is not to say all exporting nations from the Middle East increased exports. Some of the increase seen from Saudi Arabia and Iran was offset by lower exports from the United Arab Emirates and from Kuwait. Import volumes into India increased by about 1 million ton compared to the second quarter. Imports into China, South Korea, and Japan declined. Despite the new PDH plan commencing operations in China during the first quarter of 2021, run rates were progressively dropping during the quarter. Reporting margins due to rising feedstock has been suggested as the main cause by several analysts. Power costs and energy control measures in China has been hinted as a cost in September declines in run rates. Although this cannot currently be estimated how severe the energy control measures will be in Q4 2021, the forecast of PDH margins remain positive. The propane-naphtha spread reversed in Q3 2021 with naphtha becoming the preferred feedstock for steam crackers in Asia, providing some explanation for their declining in costs to South Korea and Japan. Whereas the global seaborne volumes were slightly above the prior quarter, we used to see supplies outpaced the sea demand for the third quarter and freight markets were down quarter-on-quarter and the rising bunker prices also negatively impacted the time charter equivalent earnings. The BLPG1 indication market for the Middle East Asia averaged about $42 per ton during the third quarter compared to about $53 per ton during the second quarter. The BLPG3 Index which indicates the market rate for U.S. Gulf to Asia averaged about $80.8 per tons during the third quarter, compared to $87.2 per ton during the second quarter. In the East of Suez market, there was considerable investment overhang through July after the VLGC carried out chasing on strong markets and may achieved that in the Far East in June and July. [Indiscernible] supply of vessels coincided with the low export volumes from the Middle East in June and July. Rates improved towards the end of July and thereafter remains largely stable although the index was under pressure, there were several cargos from Australia, West Africa and voyages to India that was concluded pretty much. The BLPG3 which is the U.S. Gulf to Far East Asia Index followed the down line trend to the BLPG1 AG India or AG Asia route. However, it remains -- however the BLPG3 remains premium to the BLPG1. It can also be noted that while the index is dropped, and one picture was reported as low as $73 on the seaborne route, very few fixtures was concluded at the low end. Once the bottom of the market was found, the rebound was considerable and the same week of dimension fixture at $73 per ton is reported and fixture of $85 per ton was reported. The developments of the VLGC freight market during Q3 demonstrated quite starkly how important buying prices in the Far East. Most focus was based on rising Mont Belvieu prices, and its negative impact on the arbitrage. However, when price Index rose on the back of dramatic crude oil price increases in the mid of September, the arbitrage opened quickly to facilitate swing cargos. Panama Canal congestions dropped during August and September as new Panamax container ships were delayed from sailing to the Panama, after COVID-19 outbreaks in Shanghai and Ningbo in July, they were prevented from departing from these terminals. While this would have facilitated the Trans Pacific VLGC trade in reduced VLGC utilization. The rising crude oil prices therefore supported VLGC trade positively during Q3 of 2021 by widening the arbitrage, the same price was increased -- the same price increase sorry did however also rise the bunker expenditures by about 70% and thus relative lower TCE earnings. During Q2 of 2021, the average cost per ton of very low sulfur fuel oil was about $503 per metric ton and in Q3, it averages just about $536 per ton. Despite the negative impact of earnings from the rising bunkers, there are also several positives for the remainder of 2021. LPG demand has been revised during the third quarter despite these challenges, and no obvious challenges to the demand are reported. Furthermore, North American productions of LPG remains strong and Middle East exports are forecasted to grow following the version of the OPEC+ production costs. Lastly, Panama Canal congestion are low during the third quarter following a significant hold of container vessels in the Chinese ports as mentioned, congestion is now increasing, adding to the utilization of the worldwide VLGC fleet. Increasing congestion in the new Panama adds to planning complexities and costs to the supply chain and is forecasted to continue, facing this reality 3Q fuel of Neopanamax VLGCs has been contracted on long-term time charters at attractive rates with purchase options for delivering in 2023, business from multiple tonnage providers, and it was ordered at Prime South Korean shipyard, a time of rising current waiting time for the Northbound transits, for the new Panamax for the new Panama Canal is 13 days whereas for the old canal this is three days. Quicker transits not only improved planning for customers, but they also bring down costs and increase the feasibility of using LPG as a propulsion fuel for these ships as long balances we hope can be avoided. With this, I'll pass onto Ted.
Ted Young: Thank you, Tim. My comments today will focus on our financial position and liquidity, and of course, our unaudited second quarter results. Since our last report, we've exercised our repurchase options on the Captain John and the Captain Nicholas. We expect that John to close on or about December 1, and we'll pay about $15.9 million, including accrued interest in cash on or about that date. We expect the Nicholas to be delivered back to us in late January 2022 and we anticipate a cash payment then of approximately $17.8 million. In addition to paying off our highest cost debt 6%, repayment of this debt enhances our flexibility to consider asset sales even more opportunistically as we've seen firm pricing for vessels a disadvantage. We will continue to evaluate fleet optimization opportunities as they present themselves. On September 30 2021, we had $98.1 million of free cash. And as of yesterday, our free cash balance stood roughly unchanged at $92.3 million. I point out that even pro forma for the two repurchases and an $8 million payment on our Kawasaki new build that is forthcoming, we retain a healthy cash balance. In addition, we do continue to consider several financing alternatives that would allow us to free up equity in our vessels without significantly changing our cash cost per day. With a debt balance of $576.2 million at quarter-end, our debt-to-total book capitalization stood at about 38.8%. As a reminder, we have no refinancings until 2025, ample free cash as well as an undrawn revolver. On that basis, we expect our operating cash cost per day for the coming year to be approximately 22,000 per day, which excludes the $8 million progress payment that I mentioned for our new building that's due in our fiscal fourth quarter, that is the quarter ending March 31, 2022. Before turning to our results again, I'd remind you that the investor slides are available on our website either under recent news or on the news media page, and they may be useful as we walk through some of the results. For the second quarter, we achieved a total utilization of 95.7% for the quarter with a daily TCE that's time charter equivalent revenue over operating days as we define those terms in our filings 30,996 yielding a utilization adjusted TCE per day, i.e. TCE revenue per available day of about $29,647. Spot TCE per available day which reflects our portion of the net profits of the Helios Pool for the quarter was about 29,810. In addition, looking at the Helios Pool as an entity, it reported a spot TCE including COAs of approximately 29,349 per available day, and Helios overall, including its time chartered asset vessels, reported result of 30,408, so the better pool results overall were a function of the attractively executed time charters in the Helios Pool. Our daily OpEx for the quarter came to 9,184 excluding amounts expensed for drydockings. It was 9,210 including those costs. Those levels represent a significant improvement over last quarter. We're pleased to see a reduction in our running costs, which sequentially has been most notable in the areas of crewing and spares and stores. Within the quarter, we saw our daily OpEx again excluding those drydocking related amounts, generally decreasing sequentially which is consistent with their expectation of improved OpEx, as conditions slowly normalize. Our time chartered-in cost for the quarter was $2.4 million after we re-delivered the Astomos Earth during the first quarter. However, we did take delivery of the Astomos Venus during October. On a full quarter basis, which will be for the quarter beginning January 1, 2022, our TCEs expense will increase to approximately $5.4 million. Our total general administrative costs for the quarter was $9.4 million, and cash G&A excluding G&A or cash G&A which we define as G&A excluding non-cash compensation expense was about $8.1 million. Of that $8.1 million, roughly $2.4 million reflected bonuses to named executive officers and several other members of management. Excluding this amount, cash G&A was $5.6 million, which was down about 200,000 from the previous quarter, again a positive development. Our reported adjusted EBITDA for the quarter was $37.9 million, which included the $3.5 million gain on sale of the Captain Markos. Excluding that gain, the adjusted EBITDA was $34.4 million. As you know, we look at cash interest expense on debt as the sum of two line items on our P&L, interest expense excluding deferred financing fees and other loan expenses and realized gain loss on interest rate swap derivatives. On that basis, total cash interest expense for the quarter was $5.5 million, down about $150,000 from the prior quarter. We amortized roughly $1.4 million per year on each the Captain John and Captain Nicolas, so it's $2.8 million per year together. In addition, if you look at the sum of the cash principal and interest for those two vessels for the period -- the 12 months ended September 30, 2021, that amounts of about $4.9 million, which is roughly $600 per fleet day. So the repurchase of these two vessels will have a meaningful impact on our future cost structure. We continue to benefit from our hedging policy and the favorable pricing of our Japanese financings, leaving us the current interest cost, fixed hedged and a small floating piece of 3.67%. We currently have one vessel and drydock and we anticipated total cost of about $1 million for the completion of her services. Although, we currently hold roughly an 80% economic interest in Helios, we do not consolidate its P&L or balance sheet accounts, which has the effect of understating our cash and working capital somewhat. Thus we believe it's useful to give you some additional insight in order to provide a more complete picture. As a Monday, November 01, the pool had roughly $21 million of cash on hand. Following the return of over $150 million in shareholder capital through the self-tender and dividend, we elected to play some cash to debt reduction, but really with a view to fleet optimization not due to any concern with our leveraged position. We still have $27.5 million dollars remaining under our current repurchase authorization. In addition, the three Panamax TCEs with purchase options are similarly a reflection of our capital allocation philosophy. By taking advantage of our counterparties cheaper cost of capital, we were able to conclude three transactions that were both strategic and met our risk return requirements. We will always be prudent in deploying cash, but our financial position does allow us to act quickly and meaningful opportunities as they may arise, including further opportunities to return cash to shareholders. With that, I'll turn over the call John Lycouris.
John Lycouris: Thank you, Ted. This past quarter is the first one during which all 12-scrubber vessels of Dorian LPG fleet were in operation, and they have produced significant savings in fuel costs, while producing emissions measurably below those vessels burning compliant fuels. While visiting one of the scrubber equipped vessels at Freeport, Texas during loading operations a couple of weeks ago, the gas analyzer of the hybrid scrubber system which was in operation in port at the time was recording SOx emission of 0.4 sulphur more than 50% lower than the compliant fuel supplied in the markets, which is 0.1 sulphur content. The emission advantages of the scrubbers are not limited to SOx emissions. They also reduced by about 90% carbon and particulate matter emissions that are normally produced by diesel engines and which are harmful to life and the environment. We continue to average above $105 a ton of fuel for the 2021 calendar year being the differential between high sulphur fuel oil and low sulphur fuel oil. For the last quarter, this differential price spread has produced savings advantage of about $3,000 per calendar day or scrubber fitted vessels. This results validate original expectations on the payback period having returned about 40% of the CapEx as of September 30, 2021, notwithstanding events or the oil markets collapse during the calendar 2020 and that of COVID-19. We are continuing to invest in our vessels performance and energy efficiency to reduce emissions and lower operating costs. The main measures currently being considered for our vessels are route optimization, and data monitoring software, including data collection and devices from board, energy saving devices installed on our ships that can improve how performance and power and reduction of fire requirements. By capturing and redirecting energy dissipation towards vessel performance and emission improvements, with the focus being on doing a better job with the energy we consume. We are currently implementing marine technologies that already exist, which can provide immediate results while buying time until technological innovation and advances mature and become commercially available in the coming years. And improved environmental footprint is very important to Dorian LPG. And following our scrubber experience, we would be interested to explore marine applications for carbon capture and storage on board of vessels. This technology has been available to the industry and we now expect it will become viable for marine application within the next few years and provide an effective way of reducing greenhouse gas emissions. The international marine organization, MEPC 76 and MEPC 77 committees will most likely dictate that are the available options for the marine sector will be engine power limitations, energy efficiency technologies, and alternative fuels, potentially also carbon capture for the longer term. Our view is that these considerations will accelerate the focus on energy efficiency, and will likely force owners to make hard decisions about the cost of investing in the upgrades of older tonnage to compete in the main trade. We think it is likely that several owners may conclude it is more economical to scrap all the tonnage, particularly those several generation older with a burden of high fuel consumptions and smaller cubic capacity in less modern engines. For vessels that are newer, we believe that investments will be imperative. And therefore the best capitalized players will access -- with access to reasonably price capital will be best positioned to make the necessary investments and achieve the requisite returns. Our decision to invest in scrubbers was possible because of our financial strength, and has helped us generate very solid results, which gives us confidence as we look forward and evaluate the next wave in marine technology advancements. At Dorian, we consider that it is our clear goal to continue improving our greenhouse gas footprint, eventually reaching a zero emissions target. And we are optimistic that our fleet will be among the best position to meet the demands of charters, regulators and shareholders. And now I will pass it over to John Hadjipateras.
John Hadjipateras: Thank you very much. And we're happy to take questions from anyone who cares to give us any questions.
Operator: With prepared remarks completed, we will now open the line for questions. [Operator Instructions]. Our first question is come from the line of Omar Nokta with Clarksons Securities. Please proceed with your questions.
Omar Nokta: Hey, John, thanks for the discussion. Lots of good stuff to talk about. I did want to ask about the new buildings. Obviously you've been a bit more maybe expansive of late. And it's interesting that time charter and approach which is nice. You don't have to put up capital basically, these three latest additions, they come after the new building that you have an order from earlier this year that's financed via the lease or the capital lease. Can you maybe just go over the difference in how both of these deals came together or came about and can perhaps we think about growth from here. Not necessarily there has to be growth, but in general as you think about expanding the fleet, is it really the lease charter in type of approach that you want to continue to do going forward?
John Hadjipateras: Yes, Omar it's not. I wouldn't say that it's -- that we've made a conscious decision to go one way over the other. The new building that we concluded in Japan was actually came together after a very long discussion we've had and with the shipyard, and with potential counterparties there. And she's on a favorable finance arrangement. So that was one thing. But our reluctance to do anything more than that should be viewed as a conservative approach to the new building market. And the charter in, I think the feature there was opportunistic. I mean, we saw well priced time charters with the options to buy. And I really felt that we were in the opportunity, we could take advantage of that opportunity. The timing is good. And the features of the ships that distinguishes all three of those is that they are Panamax. In other words, that they can transit the old Panama Canal and we feel quite strongly that that is a big differentiator going forward.
Omar Nokta: Okay. Thanks, John. And just wanted to double check just so we understand the trend, or I can understand the transaction a bit. The initial new building the Japanese one, that's a lease, these three are charter ends and as a purchase options, right along the way, there's no purchase obligation, as I understand it?
John Hadjipateras: Correct.
Omar Nokta: Okay, and then just one follow-up, I did want to ask just clearly the performance during the quarter, at least from my perspective was quite firm and stronger than anticipated. Quarter-over-quarter your realized rate was very little different from the prior-quarter. However, the spot market, at least from what we were seeing quoted, had come off quite a bit, I want to say averages were maybe a TCE of call it 33,000 last quarter then this last one, it was 25. And so you had a pretty big difference in prevailing averages, but your average stayed the same, any color you can give as to how your performance, I guess you could say outperform relative to what we think the market did?
John Hadjipateras: I should punt that because it's a difficult question. But maybe I shouldn't punt it because it's a difficult question. No, I think it's we have never actually been very focused on quarter-to-quarter, I think very difficult there, you have the quarters are short and voyages are long, and they carry from one end to the other. So I don't take great pride and over performed in one quarter, or I don't get terribly nervous about underperforming in another quarter. So time charter outs are a stable element in the equation, but the spot market performance is better to look at it on a rolling average of more than one quarter, that would include several quarters to get a real indication of a trend, I think.
Omar Nokta: Thanks for that, yes, I understand. But yes, it's notable at least that the performance was a bit better than anticipated. I'll leave it at that. Thanks, guys.
John Hadjipateras: Thanks, Omar. Thank you.
Operator: Thank you. Our next question comes from the line of Brian Reynolds with UBS. Please proceed with your questions.
Brian Reynolds: Hi, good morning, everyone. Maybe just to follow-up on the Time Charter announcement with the purchase option, Tim, just kind of just curious if you can talk about maybe that thought process around the duration of the announcement, it seems like there's still some hesitancy to fully invest in LPG, Joule propulsion, just given that, emerging technologies might occur as talked about in the prepared remarks, just kind of curious if you can talk about a little bit more about those emerging technologies and how we should think about the tenure of the purchase options and whether we should see more CapEx spend on emerging technologies, whether it's five to seven years down the road. Thanks.
Tim Hansen: Yes, just a man to answer that for you. But in respect of choosing to do the ships in with dual fuel, it wasn't our choice. The owners made that choice. We charted the demand, the incremental cost to us was nothing and the cost to the owner for having that feature is very small and I don't know if you can order a ship now, an LPG ship without a dual feature, dual fuel feature. So it's a whole different discussion to the retrofit discussion which where the numbers are still very considerable. But in terms of new technology and all this, John has been spending a lot of time on it. And I'm sure, I think it will be useful to everybody here kind of review that.
John Hadjipateras: Yes, Brian, we have to consider a number of new technologies, dual fuel is a good way to go forward. But also the ships that exist need to improve their performance, and we have to look at a number of opportunities, and new developments that are coming to the marine sector. First of all, we need to know exactly where the regulation would land and how it will land and what demands are going to be made out of the Marine sector. As you may know, the EU has different requirements than the IMO. And now we have COP26, which is talking about other things. So things have not landed yet precisely. And once we know what we need to do, we will make the decisions along the way, the CapEx needs to be within reasonable levels. So we could at least be able to improve all our fleets vessels, it goes without saying. So, I don't know if you have anything in particular you want to ask, but happy to follow-up later.
Brian Reynolds: I guess maybe, as a quick follow-up on IMO and COP26, just kind of curious how we should think about what you guys are specifically looking at in terms of carbon emission targets that would trigger an investment one way or the other?
John Hadjipateras: Brian, the main point is that we need to reduce our emissions, our CO2 emissions, but also our NOx emissions and our SOX emissions. So we've done that with scrubbers, scrubbers can be changed and amend and retrofitted in such a way to reduce additional amount of NOx and CO2. So that's a clear way forward for us. We cannot go to zero from now. We have to start in steps to improve our emissions and you have to do it in an effective way. So that's the way we're thinking about it.
Operator: Thank you. [Operator Instructions]. Our next question is coming from the line of Sean Morgan with Evercore ISI. Please proceed with your question.
Sean Morgan: Hi, guys. So you kind of closed out the remarks and the prepared remarks talking a lot about the upcoming regulations regarding carbon emissions. And to me, it's sort of around a little bit with a lot of what we were hearing just a few years ago on IMO 2020. And that kind of looking back at that now, there is a lot of excitement going on IMO 2020 about things such as were discussed on the call, capital restrictions through smaller operators and more levered operators, and then some differentiation. And it wasn't just for the LPG sector, but across shipping were stronger operators would benefit. With the benefit of hindsight now on IMO 2020, I don't think that it really panned out to the level that was kind of trumpeted prior to the implementation. So as we kind of look forward to COP26 and carbon emissions, and some of these similar themes that we heard just a few years ago, what makes this different than the sort of the last regulatory capital expenditure cycle that we saw the beginning of 2020?
John Hadjipateras:
, :
Sean Morgan: Yes, so I mean, I guess from the perspective of the operators like yourself, I mean, there is definitely, it's something you have to really focus on. And it's something that could go wrong, but from the perspective of shareholders, is there like an upside, I guess, golden scenario that they can kind of look for kind of similar to what was promises IMO 2020? Or it's just you guys are talking about it, because it's an important operational decision that you kind of have to get right.
Ted Young: I think it's a ladder, it's an important decision that we have to make as an environmental decision, we are all committed to do the best we can for...
John Hadjipateras: Yes, but it's also -- I wanted to add, I consider all this to be an investment opportunity. I mean, we're looking at that as an opportunity not only as an obligation, so we haven't -- some of our competitors have invested in battery units and other things. We've invested internally, mostly in optimization so far. And then -- but I look at this whole environmental pressure less as a pressure on us and more as an opportunity to make a contribution, and hopefully to give a better return to our shareholders as a result. So far, the efforts to reduce emissions are resulting in fuel economies as I said in my message. So it's the same thing actually. Less emissions comes with less fuel consumption.
Sean Morgan: Right. And I think he said there was $2 million of savings on the fuel consumption, is that mostly solar steaming, or is that specific technologies you're employing?
John Hadjipateras: This is not from solar steaming. No, no, no. This is from optimization. And then better planning of health cleanliness is a direct result of having better feedback of the operational conditions of the ships, so that we can decide when to clean a hull or propeller or better weather routing services. It's really, technology delivered savings.
Sean Morgan: Okay, wow. So it sounds like a confluence of a lot of different factors optimizing together?
John Hadjipateras: Yes.
Sean Morgan: I think -- thanks. That's all I have.
Ted Young: Thanks, Sean.
John Hadjipateras: Thanks, Sean.
Operator: Thank you. There are no further questions at this time. I would like to turn the call back over to John Hadjipateras for any closing remarks.
John Hadjipateras: Thank you all very much, and I hope you have a good fall and winter, and stay safe and see you next time.
Operator: Thank you for your participation. This does conclude today's teleconference. You may disconnect your lines at this time. Have a great day.